Operator: Good morning. My name is Ashley and I will be your conference operator today. At this time I would like to welcome everyone to the Pangaea Logistics Solutions First-Quarter 2022 Earnings Teleconference. Our hosts for today's call are Mr. Mark Filanowski, Chief Executive Officer. Gianni Del Signore, Chief Financial Officer and Mr. Mads Petersen, Chief Operating Officer. Today's call is being recorded and will be made available for replay beginning at 11 AM Eastern Standard Time. The recording can be accessed by dialing 8938154 domestic, or 402 20 1542 international. All lines are currently muted, and after the prepared remarks, there will be a live question-and-answer session . It is now my pleasure to turn the floor over to Ms. Emily Blum with Prosek Partners.
Emily Blum: Thank you, operator. And thank you for joining us for this morning's First Quarter 2022 earnings conference call for Pangaea Logistics Solutions. With us today from the company are CEO, Mr. Mark Filanowski, CFO, Mr. Gianni Del Signore, and COO Mads Boy Petersen. Before I turn the call over to Mark, I'd like to read the safe harbor statement. This conference could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Pangaea Logistics Solutions. Forward-looking statements are statements that are not based on historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Pangaea Logistics Solutions management, and our expected risks and uncertainties which could cause the actual results to differ from the forward-looking statements. Such risks are more fully discussed in Pangaea Logistics Solutions filings with the Securities and Exchange Commission.  The information set forth herein should be understood in light of  Pangaea Logistics Solutions does not assume any obligation to update the information contained in this conference call. Also, please recall that a supplemental slide presentation will accompany this call. Those slides can be found attached to the 8-K that was filed with last evening's release, which is available on the Investors section of www.pangaeals.com under Company Filings or on SEC website at sec.gov. Now, I would like to turn the call over to Mr. Mark Filanowski. Mark?
Mark Filanowski: Thank you, Emily. And thanks to all who have joined us today for Pangaea's First Quarter 2022 Earnings Call. This morning, I will provide an update on our operations and the overall market before turning the call over to Gianni, our CFO, to provide more detailed overview of the first quarter of 2022 financials. We'll then open the line for questions. We hope you've had time to review our press release and accompanying presentation, which were issued last evening. It was a volatile market within the quarter. But overall, improving drybulk market fundamentals, timely expansion of our fleet, and an early winter  resulted in another strong quarter to start 2022, led by market strength, pushed by our business plan and our people, navigating sanctions, operating challenges and trade lane disruptions caused by the war in Ukraine. We reported quarterly net income of $20.1 million or $0.45 per share. Market strength continues to build in most geographic areas where we operate. At the end of the first week of may, our second-quarter time charter equivalent booked indicates a rate of $29,400 per day, an increase from our actual Q1 time charter equivalent rate.  As we move towards the third quarter, seasonally our strongest, we don't see a reason for a weakening market. Supply of new ships is constrained for years, and the existing global fleet in use is stretched by high fuel prices, congestion, and increases in tonne-mile demand. We reiterate our tempered enthusiasm, this is shipping after all, by announcing our Board has decided to increase our quarterly dividend of 50% for the June payment date, our second increase this year, and our sixth consecutive dividend payment. We want our shareholders to participate in the results of a good market and the hard work our people put in every day from decks and desks. We have also tried to differentiate our business model and our performance from our peers.  One way is to examine results that matter. How productive is a company at making the best use of the assets at its disposal? We think time charter equivalent through cycles is an excellent measure of how effective a shipping company is in its market. I am pleased to tell you that we learned last week that Pangaea outperformed 20 other publicly listed dry bulk shipping owners and operators in the annual measurement performed by vessel index, finishing in second place this year after placing first for the previous three-years. It really is hard to be number one every year, especially in moving market we had last year. Over the last four years since these statistics have been published by vessel index, Pangaea has outperformed all other companies included in the survey.  We more than doubled the performance of the second place entrants. Over four years, Pangaea has averaged an out performance of 36.6% or $3,372 per day, per owned vessel over the industry index and $1,397 per day per vessel over the second place finisher. This independent measurement of Pangaea's out performance demonstrates the power of our business strategy and trading platform over long-term business cycles. As we look ahead, we remain encouraged by our strategic position and our ability to capitalize on improving market fundamentals. We continue to supplement our successful business model by ramping up our efforts and logistics at ports we operate in the U.S..  We are participating in infrastructure cargoes, and projects, meaning we are stevedoring break-bulk solar components and cement and bauxite, and we're bidding on projects to support wind farm installations. There is no doubt this service is complementary to our base shipping business. We have attracted a veteran of this space, Brent Mohana, to work with us to expand our efforts. We hope to make this part of our business a real contributor over the next few years. I'd now like to turn the call over to Gianni to go over the numbers in more detail. Gianni.
Gianni Del Signore: Thank you, Mark. And thank you all for joining us on today's call. 2021 was a record year for Pangaea and our momentum continued into 2022, despite a volatile rate environment during the first quarter with the average of the public Panamax and Supermax indexes ranging from 16,000 to a high of over 30,000. We generated adjusted EBITDA of $31.3 million and adjusted net income of $15.7 million. Our average net TCE earned of 26,472 per day increased over 60% compared to the first quarter of 2021, and exceeded the market by approximately 17%. We believe we are well-positioned to extract the most out of any market that may be ahead. We continue to deploy our assets to serve our client's cargo needs, and within the quarter, took delivery of the Bulk Concord in 2009-built Panamax, giving us the flexibility to sell the Bulk Pangaea, a 1999 built Panamax vessel.  Although we recognized a $3 million book loss on impairment during the quarter, the sale of the bulk Pangaea one completed in June, will result approximately $8.5 million in positive cash from investing activities. Turning to our full-year financials starting on Page 6 of our presentation, you will see a year-over-year increase in our total revenues, driven by an improving market and an increase in our achieved TCE rate. Voyage revenues increased approximately 62% to a $176 million. And Charter revenues decreased approximately 5% to $15.4 million, as our fleet was deployed on more voyage charters compared to time charters during this quarter as compared to Q1 of 2021. Charter expenses paid to third-party ship-owners increased to $77.7 million from $53.6 million, a 45% increase due to increases in market rates to chartering vessels.  However, total chartering days decreased 19% as the expansion of our owned fleet during 2021 reduced the number of vessels needed to supplement the owned fleet at prevailing market rates. Further, the expansion of our own fleet throughout 2021 led to an increase in vessel operating expenses, which increased by 55% to $13.2 million compared to $8.5 million. Vessel operating expenses on a per-day basis, excluding management fees, increased 7% from $5,014 per day to $5,345 per day. Unrealized gains on derivative instruments was $7.5 million, representing the change in market value of open derivative positions from December 31 to March 31. Within other current assets, we recorded FFA assets of $4.9 million, fuel swaps of $4 million, and interest rate cap of $2.4 million.  As we've discussed in the past, we utilize forward freight agreements and bunker swaps to selectively hedge our exposure to the market on our long-term cargo contracts and forward cargo bookings. While this locks in future cash flows, the mark-to-market unrealized gains or losses can lead to fluctuations in the company's reported results on a period-to-period basis, while settlement of the position and execution of the fiscal will occur at a future date. Net income for the quarter was $20.2 million or $0.45 per share compared to net income of $5.8 million or $0.13 per share for the same period in 2021. Moving onto the balance sheet and cash flows on page seven of our presentation. We ended the quarter with $69.9 million of total cash and cash equivalents, an increase of $13.7 million from year-end, driven by $32 million in positive operating cash flow offset by the acquisition of the Bulk Concord and related to financing activities.  Collectively, we are encouraged by the steps we've taken to strengthen our financial position and return value to shareholders as we have increased our quarterly dividend by 50% to $7.5 for the June payment date, our second increase this year, and our sixth consecutive dividend payments. With that, I will now turn the call back over to Mark for any additional remarks before we get to the Q-&-A portion of the call. Mark?
Mark Filanowski: Thank you, Gianni. We thank our customers, business partners, and shareholders for their continued commitment and partnership, and we look forward to updating you further in coming quarters. I'll now open the floor for questions.
Operator: At this time if you would like to ask your question, . And we will take our first question from Liam Burke with B. Riley. Please go ahead. Your line is open.
Liam Burke : Thank you. Good morning Mark, good morning Gianni, good morning Mads.
Mark Filanowski : Hey, Liam, thanks for joining us.
Liam Burke : Thank you. Mark, you mentioned your prepared statements that there's a fair amount of scarcity and assets in your asset class. If I'm looking at volumes of traffic in the north of sea routes, they're growing pretty rapidly. What does that mean for future rates and asset values going forward?
Mark Filanowski : Liam, we're seeing a lot of tightness in the markets. Almost everywhere we look, market rates are really good. I mentioned that for the third quarter -- second quarter, year-to-date, we're over $29,000 a day booked. And the market was favorable from there for the rest of this quarter, which is about halfway done. For the rest of the year, we move into our summer ice season, and that's always good for us. It keeps us busy at ice premium rates for 10 of our ships at least. And the rest of the market seems -- still seems pretty firm for the rest of the year. The forward numbers look good for the rest of this year. In terms of ship values. Ship values have increased substantially over the past two years or so, ratcheting up very nicely. The ships that we ordered in 2019, delivered in 2021. They were ordered for $38 million each. We think they've -- they're probably 20 -- at least 20% higher in value today.  But there aren't a lot of these ships trading because they are valuable to the current owners. In terms of the values of the rest of the fleets around the world, I think anything that floats is up substantially from where it was two years ago. Older ships are multiple maybe, of what they were back two years ago. Newer ships are way above where the values were sometime ago. New building costs are rising, but some people are brave enough to order new buildings at the current prices, but you've got a wait a while for your ships. So that's pushed up the prices of secondhand ships. Looking at our net asset value, we don't think it's a good way to measure where your stock trades compare to net asset value, but our net asset value has increased substantially over the past couple of years.  If you look at it today, it's a little bit hard to decipher on our balance sheet because of the consolidated joint venture assets, you've got to do a little adding and subtracting. And then you've got to consider maybe adding a little bit more because our trading platform does add, as I mentioned in my prepared remarks, add substantial extra value when we trade our assets in the market. So we think we're trading today are the value of our shares as substantially under our net asset value. And that's a good indicator for the future of our company and where we stand.
Liam Burke : Great. Thank you. And you did sell obviously the bulk Pangaea what motivated you to sell if your current asset group is so valuable?
Mark Filanowski : That ship was purchased maybe about 10 years ago for specific trade for our bauxite business, Jamaica to Gramercy, Louisiana. In that trade for well over 100 voyages and as you'll do for docking in early this year and installation of ballast water treatment system. Again, that -- that's a 10-year contract we have, we have 10 years more left to go. We thought it was better to trade that ship for a newer vessel that we committed to purchase back in November and put it into the trade just very recently. So it's really a trade --
Liam Burke : Okay. So I just want to clarify that the contract still exists and you're still going to move that cargo. You're just trading up on the vessel?
Mark Filanowski : Correct.
Liam Burke : Okay. Great.
Mark Filanowski : Pre -investing in 1999 built ship. We want to replacements ship that will be it through the next ten. years.
Liam Burke : Great. Thank you. Mark.
Operator: I will take our next question from Climent Molins with Value Investor's Edge. Please go ahead, your line is open.
Climent Molins : Good morning. Thank you for taking my questions. You provided some interesting commentary regarding Europe exposure to both ports and terminals. And I was wondering if you could expand on the new projects you mentioned, especially on the  site. Should we expect incremental CapEx or are the port facilities ready for this additional business.
Mark Filanowski : The port and terminal business is complementary to what we're doing. We try to make it complementary to what we're doing. If we can find stevedoring business, for instance, that also -- that complements ocean freight, that's really what we're trying to do. We are involved in one specific project in Brayton Point, Massachusetts, that's been identified as a very valuable property for support of wind farm installations offshore. We don't have a fixed contract to use that space for this business right now, but we are working on it. It will take some CapEx to improve that area, but that's all built into the funding for the contract the way it's been contemplated. We're also -- in one of our terminals in Sabine, Texas, we're taking break-bulk solar parts components into Sabine, and taking them off ships that come in, and distributing them in the area. So we are involved in that kind of business. We expect it to grow substantially over the next few years. It's not a large part of our operation today, but it is a focus that we have to complement our basic shipping business.
Climent Molins : All right. That's very helpful. And the board approves the significant increase to the dividend, which comes on top of other recent increases. How should we think about your capital allocation priorities going forward? And I was wondering regarding shareholder returns, is there any appetite for potentially formalizing a dividend policy, that is to be free cash flow or net income, or that the board prepared to retain more optionality?
Mark Filanowski : To date, the board has preferred to retain optionality. Always looking forward to capital expenses, capital expenditures including fleet renewal. And considering that this is a pretty volatile business, but also on the other side, where we have a business plan that does protect us from the downside through contracts we have in place that they go for long-term. So to date, the board has always considered that it should be a quarter-to-quarter decision rather than a long-term decision to commit to any formula that could change in the future, but right now the board considers flexibility to be -- to be the key.
Climent Molins : Make sense that's all for me. Congratulations for this quarter and thank you for taking my questions.
Mark Filanowski : Thank you.
Operator: Again, as a reminder, to ask the question today  we'll go next to Poe Fratt with the Lion's Global Partners. Please go ahead.
Poe Fratt : Good morning, Mark. Good morning, Gianni. Good morning, Mads. I just had a couple of quick questions. One is, when you look at the Bulk Pangaea, what would have been the scrap value on that vessel right now?
Mark Filanowski : Probably $6 million plus minus.
Poe Fratt : Can you just walk me through given the scrap value and the potential cash that you would have been generating on an annual basis, which probably is north to $4 million or so. How you -- why you wouldn't have kept that in the fleet and run it out until it's -- and then eventually scrap it as opposed to sound it into the market?
Mark Filanowski : I guess a couple of things. One is the time and costs to put the ship through a docking, and then looking at the trading value of that ship. As a ship gets older, it becomes a little more difficult to trade. It becomes a little more difficult to get the premiums we talk about when we study our income statement. So the best use of that asset would be in the box I trade that I talked about. But that contract has another 10 years of life and we didn't think that the Bulk Pangaea has another 10 years of life, even after we did the dry dock and maintenance and improvements on the ship. So it was really just a trade-up to make a long term fulfillment of our contract obligations under that contract.
Poe Fratt : And then when you look at the ancillary business, for lack of better word, stevedoring another -- other services that you're providing, did that have a material impact on the quarter? And then maybe you could just give us an idea as you look into 2023 and '24 where potentially, we might see more material impact.
Mark Filanowski : It's not a material impact on the quarter yet. It's a focus of our efforts, it's what we try to do to increase our participation in the throughput of the cargo. The eventual goal that we want to achieve here is to go to a customer and say, give us your entire -- give us control over the entire supply chain. We'll take your product from the mine mile, we'll put it into your production process on shore, and we'll move the cargo in all the  places. And it will be better for you because it will simplify your operation, maybe cost you less overall, take inefficiencies out of the supply line. And we'll take on a little more risk, but we want to get it a little bit more for it. So that's the whole concept where we've done it in some places, but we want to make it a part -- a real part of our business, to go out to people, maybe make some joint venture or operating agreements with some barge lines, with some stevedores.  We've done some of that, but we want to do more. How long that will take? I can't give you a timeline on it, but we're concentrating on it. We're successful at it, and Sabine, we're working out. We're successful at it in Gramercy and the Mississippi River. We've been successful at it in BreakingPoint in Massachusetts. And we're working on Florida and other spots in Texas now, and the Northeast. So it's something we're concentrating on a lot and we've got this new guide, Brent, who's an expert at attracting cargo and making these kinds of supply lines really work for customers. So we're very hopeful there.
Poe Fratt : Great. And then you talked about the ice class in the marketable business earlier in the call. Can you quantify the premium that you -- that was realized in the first quarter for ice clients and potentially what's built into the second quarter, forward cover? And that's pretty healthy premium over the market scale. And then you said, the third quarter can be the strongest so should we -- does that imply that the TCE rate premium could expand into the the third quarter too?
Mark Filanowski : What I  is that the premium we saw in the first quarter in terms of ice-class. These shifts when they trade ice in the winter season, they're not put on time charter. When they are in the ice, we get an additional premium for those days that the shifts trade in the ice. What that averages. I'm going to let Mads talk about that. Going into the third quarter under our Bettenland contract rate. So why don't I let Mads address that -- the premium that we see on those ice class ships.
Mads Boye Petersen : Sure. Thanks, Mark. Opposed, the overall premium fall for the Jeff fleet was 17% for the quarter, right? We don't usually break out the individualized premium, but it is higher than 17%. It was a bit of an unusual season in the sense that we started quite early, we started earnings premiums earlier than we usually did, and then of course there was a bit of to say the least, disruption with the follow-up from the Ukrainian situation. But still overall, we actually managed to get a pretty good season within them. And across for Q2, we never really had much of a nice premium there historically, and of course now we're gearing up for the Bettenland summer season, which we have high hopes for, of course.
Poe Fratt : Okay. Great. And then Mark, you talked about the dividend. You  it $0.025 a quarter, big percentage. But should -- how should we be looking going forward on the dividend. It seems like given your strong financial position, the outlook for the market, that additional increases should be or are likely, at least in my mind. Can you talk about -- are you looking at a potential set increase per quarter, per share, or -- and ignoring the percentage increase, or how you're looking at that. And then maybe if you could talk about share buybacks in the context that your public market float has changed over the last year from the standpoint of a board member -- or a holding associate with board member, they're out. You also have other circumstances that maybe your public float go up. Can you just talk about share buybacks in the context of a public market float that's still not as constricted as it was in the past.
Mark Filanowski : Sure, Poe. Thoughts on all these things, are evolving as cash starts to accumulate on the balance sheet. And we think this $0.075 dividend that we declared the other day that will be paid in June is a pretty nice reward. We certainly hope you were right that the cash keeps building, that the market stays strong, and we can increase the dividend more. We've always thought of buybacks as a way that we would further restrict this trading elements of our shares. We've always been reluctant to do that. It's been only about nine months since the large shareholder, Cartesian, who held a third of the shares in their fund started to get out of the stock. It got pretty easily absorbed into the market over the following months and by summer last year, they were totally out. As we look forward to get a little more comfortable with the trading volume of this stock, maybe we'll think of stock buybacks a little differently, but it hasn't been on the top of our priority less than the way to get funds and rewards back to shareholders at this point.
Gianni Del Signore : Poe, if I could add just one thing on the dividend, I think one of the most important factors for us and our board as we assess, is the level of each quarter to make sure it's sustainable as possible. I think what we want to do is have a dividend that is not going to fluctuate significantly quarter to quarter. We wanted to be as sustainable as possible for a longer-term. And I think that's one factor that we continue to pay close attention to as we make that decision.
Poe Fratt : Great. Just to check the box on the macro. Mads, are you seeing any things that concern you in the marketplace from standpoint of rates are high, bunker prices are high, there's been disruption from Ukraine, anything that concerns you from the standpoint of what's going on in the market or even in other places around the world?
Mads Boye Petersen : I think -- I mean, the  market is in an extremely dynamic fluid place. So what tends to happen when there are disruptions, whether that is COVID or whether that is the situation in Ukraine, the market adjusts actually pretty quickly, right. And we have been very busy helping our customers who were previously, for instance sourcing their raw material in  to help them as they look for alternative places to get the iron ore for instance, or their anthracite. That drives up the ton-miles. So I think those -- the overall uncertainties in the world at the moment is sort of -- it appears from our perspective at least is very much being balanced out by actually increased ton-mile demand we're seeing.  I think you'll hear the same story from most of the drybulk guys on their calls, right. And then we are really seeing it, that trades that makes system four months ago suddenly are sort of back in fashion. And so a lot of things have been turned on its head. But overall, I think travel is in a pretty good situation. As Mark alluded to, the new building costs higher that tends to keep the overall supply of shifts in check. But it is shipping after all, so you never know what happens on demand side. But generally from what we're seeing and what we're hearing from our customers, is that generally the mood is pretty upbeat to be honest.
Poe Fratt : Gentlemen, thank you for your time.
Mark Filanowski : Thank you. Poe.
Operator: And there are no further questions at this time. I will turn the call back over to Mark Filanowski for any closing remarks.
Mark Filanowski : Thank you for joining us today to talk about our earnings and our prospects. I wish you all a great day. Hope to see you, hear you again next quarter.
Operator: Thank you. And this does conclude today's program. Thank you for your participation. You may disconnect at any time.